Operator: Good day, and thank you for standing by and welcome to Peyto's Q3 2022 Financial Results Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded.  I'd now like to hand the conference over to your speaker today, Darren Gee, Chief Executive Officer.
Darren Gee: I kind of cut out there a little bit. Justin, hopefully we're still all with you?  Good morning, ladies and gentlemen. And thanks for tuning in to Peyto's third quarter 2022 results conference call. Justin, can I just confirm that we're coming in loud and clear?
Operator: Yes, sir. Did you not hear my introduction? I apologize.
Darren Gee: Not a problem. We just cut out at the end. I just wanted to make sure we didn't lose the line. 
Operator: You’re live. 
Darren Gee: Super. Well, thanks everybody for listening in. Before we do get started today, I would like to remind everybody that all statements made by the company during this call today are subjected to the forward looking disclaimer and advisory set-forth in Company’s news release issued yesterday.  In the room today we've got the entire Peyto Management team. Our President and Chief Operating Officer, JP Lachance, here to answer your questions; as is Kathy Turgeon, our Chief Financial Officer; got Scott Robinson, our VP of Business Development here, Dave Thomas, our VP Exploration is here, Todd Burdick, our VP of Production and Lee Curran, our VP of Drilling and Completions are both here; as your questions on operations, Derick Czember, our VP of Land; Riley Frame, our VP of Engineering are here; and our new VP of Finance, Tavis Carlson is here. So, everybody's in the room ready and set to go for your questions.  Before I get started with my comments about our results, though, I do want to recognize the efforts of both our office and field personnel this past quarter, we had a very active quarter drilling and completions pipelining activity, we had some land deals from acquisitions, so we were busy firing on all cylinders. Even our marketing guys were hopping this past quarter with all the volatility and commodity prices and egress opportunities that existed. And of course, our exceptional field staff kept everything running smoothly.  So a big thank you to all those for that effort. Particularly now, since it's 20, below in Alberta, and we all rely on natural gas to keep the lights on and heat our homes and survive the winter. So on behalf of all Albertans thank you all for giving us that security.  And I suppose speaking of security and the freedoms we all enjoy, I would also like to thank all those that have fought so valiantly to give us that freedom. Tomorrow is Remembrance Day, which is the official day to remember, but we are thankful every day for their sacrifice. So please remember them with us.  Onto the quarter. As we mentioned in the release, we drilled in most of our core areas and into many different formations in the quarter. And that's important because we as we diversify both geographically and in geology, we eliminate a lot of the contingencies between wells, and we tend to reduce the risk in our overall drilling program.  It really allows us to pick the very best of each area in each area and in each zone. And those results are starting obviously, to show now we drilled some great Dunvegan wells in our Cecilia area, which is a new play for us. And we drilled in several different zones in Brazeau that proved up even more of the future inventory down there.  Our average well in the quarter was almost 5000 meters’ measure depth, which is the longest we've had on average. And that's amazing, over 1600 meters of horizontal lateral on average. And of course, that average was up because a large percentage of wells in Brazeau are were in Brazeau, and the formations are very deeper there. So we have to drill a little bit deeper to get to them.  Our average well cost was also a bit more expensive because of those deeper wells. But there are some big wells down in Brazeau we make up for it. So there's a reason we're going deeper. We also saw our costs on a per stage and per meter horizontal lateral were up partly due to service cost inflation and partly due to increased rack intensity.  So because of the increase in more expensive wells that we've chosen to drill in Brazeau, and because we've built a disproportionate amount of facilities and large diameter pipelines this year, we've had an increase to our capital budget for this year. But that's okay. Riley assures me that the rates of return regenerating on all these wells and Brazeau are fantastic. Some of these new place we're proving up and all of this infrastructure we're investing in will serve as well for many years to come.  We also post a very strategic property acquisition in Brazeau during the quarter with some very exciting drilling inventory audit. In fact, we've already drilled two big wells on those new lands. And they were brought on just this week, I believe. So that's nice that we can jump on those opportunities right away. These new lands plug in quite nicely to our existing land base. And we'll use a lot of this inventory to fill up the Aurora gas plant that we purchased earlier this year.  There’s a good slide in our corporate presentation that illustrates where all these lands and facilities are and how well they fit in. So please check that out.  On the financial side of things, commodity prices, particularly gas prices were wild during the quarter, or at least echo was the daily AECO high in the quarter was I think, over $6.50 of gigajoule, and the low was negative $0.19. So extreme volatility, which is exactly why we've chosen not to have any exposure to the AECO market. The NYMEX was much more stable. It had a daily low of 565 and a daily high of 985. And the average was I think, 7% higher than the previous quarter. So a lot more stable there.  Although we have almost no exposure to AECO we did have some previous hedges to contend with, which is why I realized prices still lagging the spot market will all be glad to put those behind us, which is also why we expect such a nice jump in funds flow for next year despite a lower strip price.  As those edges roll off. But the things we do control, we did a good job our cash cost before royalties were right in line with the previous quarter at $0.87-bit higher transportation costs offset by a bit lower interest cost. We are forecasting our interest costs will continue to fall as our debt falls. And that's despite the rising interest rate environment.  We signed up a new bank deal in Q3 that comes with it lower stamping fees so that will help offset the rising Bank of Canada rates. The future step for both oil and Alberta power has both of them falling into the near future. So I guess that's helpful for our operating costs as with oil price and diesel and Alberta Power Pool prices drive a lot of our operating costs.  As we continue to fill up our gas plants and increase utilizations, though we should see some improvement in op costs on a per unit basis. But the reality is we use a lot of diesel to run the trucks and heavy equipment in the field, including drilling rigs and Frack pumpers and everybody driving around to develop all this natural gas and that's driven by oil price. So, higher oil prices do drive higher costs for us.  We've been watching closely the evolution of natural gas powered equipment like drilling rigs, and Frack pumpers and CNG, or LNG powered semi-trucks. We're eager, obviously to adopt those to use the fuel that we produce when they are ready, but as of yet the economics just aren't there. Lee has been following that closely, so feel free to ask me a question about that if you like.  Overall, our financial performance in the quarter was good. But as I mentioned, it'll be so much better when our hedges roll off. And we don't have a $92 million hedge loss in the quarter. As it was though, we achieved a 71% operating margin and a 30% profit margin. And those are going to help to drive record cash flows and earnings for this year.  And despite the extra $26 million capital outlay for the acquisition in the quarter, we still reduced our debt in the quarter. That's eight straight quarters, we've reduced our debt, and we plan to keep knocking it down until the amount that we really have exposed to any higher interest rates is significantly reduced. Remember, though, we have around $420 million of debt that has fixed interest rates on it, that's about 45% of our debt right now. And those fixed interest rates are right around the 4%. So, that portion has no risk of rising rates associated with it.  We also announced our plans for 2023 yesterday, and that's exciting. We've got a great lineup of drilling plans. But we're going to schedule it to try and take advantage of a less busy summer season so that we're not competing with all the winter guys, in the winter only drilling that happens in the province. We'll be following up on our successes this year in greater Sundance and greater Brazeau as always, and also building out a brand new core area that's in between those two. It's called white horse. We announced some details about that in yesterday's press release as well. And there's also a good slide in our presentation that shows where that is.  So we're excited to get on to those plans. And then of course, I believe we announced a return to a much higher dividend for 2023 and I'm sure many of our long standing shareholders are happy to finally see that. Of course, that doesn't mean we're abandoning plans to continue to strengthen our balance sheet, it just means our free cash flow position for next year is expected to be even stronger than this year. So we can finally start to flow some of those outsized earnings that we've been generating out to our shareholders, the profits that we've been generating on all this capital we've been investing.  And of course, we fully recognize some of the extreme commodity price volatility that we've had over the past few years, which is why we need to have the security of pricing going into the decision to increase the dividend. We now have over 50% of our gas sales for next year already sold. And with that heads protection, we know we can fully fund our capital program and dividend even if the spot price drops, well below that $3 and MMBtu. Since we're only exposed really to NYMEX prices, that's the price we're watching. Spot prices right now, though, for next year and the futures curve for next year is likely right around that 550. So substantially more. And that's why we're quite confident in the funding that we have going into next year. But we will continue with our hedging practice of locking in future prices as we move forward in time to ensure that we all have that funding going forward.  Anyway, that's a lot of talking for me. I'm sure investors and those listening in have lots of questions. So Justin, maybe I'll stop and we can turn it over to questions from those listening in.
Operator: [Operator Instructions] And our first question comes from Chris Thomas from CIBC, your line is now open.
Chris Thomas: Hey, good morning, everyone. And thanks for taking my questions. My first one for you. How are you thinking about natural gas egress capacity out of the basin after the maintenance disruptions that we saw this past summer? And then as a follow on to that, can you maybe walk us through the mechanics of how Peyto's gas molecules flow to market? 
Darren Gee: Sure. JP, you want it. 
JP Lachance: Yes, sure. Good question, Chris. So, as you know, we're very diversified. We have gotten a lot of our gas pointed at different markets. And we've done that in different ways. One of the ways -- one of the locations we're pointing to is Emerson, so we have physical transportation that covers us to get to Emerson.  And with that, we also have the Empress piece, this is the piece that gets across the border from AECO into the main line. So we have those physical transportation contexts to last us for pretty much as long as we'd like the Emerson deal is a renewable contract. So we're allowed to renew that every year.  And then we have more than enough Empress to cover that piece of the transportation and then some and that gives us some flexibility so that we could sell either at AECO and or at across the border into Empress. So for relatively cheap insurance. But the rest of our diversification, as you know, is more around basis deals or what we'd like to call synthetic transportation. So that's to these other locations like Henry Hub, Malin, Ventura, Don, and those are all set up with marketing arrangements that get us the price at those locations, that those markets. But how we get there is embedded in marketing or bases deals.  So we really only have to physically deliver to enter the NGTL system here in Alberta. And so that allows us to maybe not take on those long term transportation arrangements in that case. And by doing that, we just have to make sure we have enough physical transportation here in Alberta. And we have about 15% or 20% excess firm in the NGLT system right now. And so that allows us for the future growth of the company as we see going forward.  Come next year and near the end of next year, when we start delivering to the cascade power plant, we'll have an additional 60 -- minimum additional 50 million a day of capacity that we won't have -- that we'll have available as FTR service as we bring that gas directly to from our Swanson plant directly down to the cascade power plants. So from a transportation perspective, we've got more than we need and ability to grow into that you and the nice part about this too is, we're basically are diversified away from AECO.  So we won't be subject to these summer price swings that we see. And as Darren mentioned earlier, how prices go negative in summertime. Do you want to add some into that?
Darren Gee: Chris, I'd add that, I think and detail just released a maintenance schedule for next summer. Maybe surprise everybody at the amount of impact that's going to be happened to the system. And really, their mechanism for dealing with too on the system, when they're trying to do that maintenance, obviously is to cut the access to storage. And that's where the price gets very volatile.  Thankfully, we've got coverage for all of our volume, and then some actually to be able to get out of the province and not be exposed to that. That price volatility, particularly in the summertime. We signed up, as JP mentioned, several years ago for a whole bunch of Empress service delivery service off of Nova onto the main line that gets us all of our gas and then some. So we've got lots of coverage, lots of protection against the impact of things like that maintenance schedule, volatility upgrades.
Chris Thomas: Okay, just to clarify on the comment on having coverage for your volume, so that's 10% to 20% of FTR in excess of your gas production, according to 2023 guidance?
Darren Gee: Correct. So that's the FTR to get on to know the receipt service to be able to deliver on to net. And then of course, once you're on net, then you're exposed to the AECO price, how do you get away from that. Well, then you've got to have the diversification, either the basis deals or the firm service delivery service of De Novo system to get outside of the AECO market. And so we have both pieces in excess, actually.
Chris Thomas: Okay. My next question for you what percentage of your 2023 capital spending will be directed towards facilities and pipelines?
JP Lachance: So I bought the same as we did this year, we have a few -- this is JP. We have a few major projects, we still plan for next year, we have the cascade pipeline, which I just mentioned that we have to build down to cast to the power plant down. And that's about all of ours, roughly about 21 kilometers. So a pretty large diameter line down 21 kilometers.  And then we have the plant, plant although we're saving some costs on the plant by using some equipment, we still have a fair bit of cost has been there. So it's roughly going to be around that same range, Chris, in that 15% to 20% range, probably closer to the 20% range in our budget. 
Darren Gee: 20 is [indiscernible]. 
Chris Thomas: Okay, and then where do you see cash taxes coming in for 2022 and then ’23?
Darren Gee: I think we're budgeting right now a little bit of taxes just here in the fourth quarter to end the year, small payments. And then next year, we're going to start making quarterly progress payments on our tax bill. As we move throughout the year. We're obviously still converting pools that we've accumulated to our capital historically, as we go along, and then the capital program next year also adds to that base. But we just don't have enough obviously to shelter all of the income, that would be taxable in the year, so we will pay some tax. I think we were looking at an average is somewhere around 12% of cash flow.
Chris Thomas: Okay. And then final question, and I think you may have mostly answered this, but in terms of how you think about dividend sustainability, and your capital program, I think I heard you say down to $3 and MMBtu NYMEX in 2023? 
Darren Gee: Yes, even less. So, we run a bunch of activities on commodity price, obviously, we want to make sure that we can fund all of the all that we want to accomplish. And debt reduction is one of the things we do want to accomplish. So we want to make sure that we've got the free cash flow for that, and the dividend and obviously to find the capital program.  Now, as we did see a large drop in the commodity price, likely we would see a follow on drop in service costs. And so, the expectation is our capital program wouldn't cost us quite as much because we'd see everything backing up. The activity levels if commodity prices drop, tend to drop off. And so to the cost structure out in the industry. Of course, over the past year, we've experienced kind of the reverse, we've seen rapidly rising commodity prices, and we've seen service costs going up, along with them.  So we would fully expect the reverse to happen. But, that's not what the future chip is showing us. Obviously, it's much something much bigger than that. But we've seen so much extreme volatility that, we need to be prudent and make sure that we can handle all of it that whatever, we get thrown. And we feel very confident that we can.
Chris Thomas: Okay, thanks for taking my questions. I'll hand it back.
Darren Gee: You bet. Thanks, Chris.
Operator: [Operator Instructions] And I am showing no further questions. I would now like to turn the call back over to Darren Gee, for closing remarks.
Darren Gee: Actually, Justin, we'll take a quick moment here. We had a couple of questions just come in over the wire. So I did want to address a couple of things. One was with respect to the acquisition, and so Derick, maybe I can hit you up, just to comment a little bit on this acquisition we did in Q3. As we know that we bought some lands and a little bit of production. Can you maybe talk a little bit more about the evolution of this acquisition and what opportunities we really see there long-term?
Derick Czember: Sure, Darren. As mentioned in the press release, we spent $26 million to purchase 49 gross in 42 sections of land in the Brazeau area. I think there's three main takeaways regarding the deal. The first is that the lands have really good upside. It's top tier upside and several other key zones we target. We've mapped 40 upside locations so far with 18 of these being non-acumen, and most of the remainder being Wilrich, plus a few Caridums. The non-acute ones in particular, as we saw up at Cecilia in that acquisition last year, they have the capability to be quite high impact wells. On this new gradual acquisition, we've already drilled and completed and tied in the first two Notikewin, and they've come close to filling up this bear 30 million of processing capacity in our new Aurora gas plant.  And we're currently drilling a pair of Wilrich horizontals. And after that, we'll move to drill five additional freshly licensed for Notikewin. So the acquisition will play a significant role in the 2023 CapEx program.  The second tag and takeaway is that the new acquisition really nicely complements the corporate one, we did it earlier in the year and that example is sort of already talked about it is the Aurora gas plant. It came with a lot of excess spare capacity from the drill your acquisition, and the land base will fill us up nicely. But the third takeaway to the length of that is not so obvious until you look at a map of the land and the pipelines in the area.  The new lands really fill in a significant gap between our Chambers and Brazeau gas plants. So now we have a continuous swath of almost 100% Peyto land that stretches for 30 miles. The new pipelines that come with this deal along with the pipelines that came with the earlier acquisition, plus three gas plants Brazeau, Chambers and Aurora combined to give us a quite a dominating infrastructure position here. And that should really help us to give us an edge as we continue to look for new opportunities to grow here. So all in all, it's a big win, I think, for us, and thanks to all the people who participated in making this happen.
Darren Gee: Okay, great. Justin, I see a hand raised. Is there a question from one of the listeners? 
Operator: Yes, sir. One moment for our next question. And our next question comes from Michael Beal from Davenport, your line is now open.
Michael Beal : Thank you. In regards to the distribution increase, so, a lot of E&P companies, have a base plus a variable. Maybe not as many in Canada as the U.S. So as a shareholder, should we think about this new rate being a base that we hope to not reduce for a long time? Or is this sort of looking a year forward and, in essence, a variable dividend?
Darren Gee: Yes, it's a good question. Like, we work in a volatile commodity industry. So, sometimes I have to laugh when people talk about base dividend in oil and gas, just because we've seen the commodity price actually go to zero. So nobody's dividend is a base dividend when you have no commodity price, but, and everybody ends up cutting those. But the reality is, we have good visibility into our business, we operate 99% of our production, all of our capital that we invest every year is our gun control, we have a very good handle on how our business is expected to perform so and quite frankly, how our capital program is expected to perform. The one variable being the commodity price. And that's partly why we do as much hedging as we do, to try and take that commodity prices, variable out of the equation as much as we can. And so, when our Board decides on the dividend level, it's with all that information in mind, obviously, we don't want to be reducing our dividend. We expect fully that as we go out into time, all of the activities that we have planned and with the future strip, we're going to be able to continue to increase it over time.  But, that obviously, is subject to the future. And as we hedge and continue to move along, locking down those commodity prices and taking some of that risk off the table, we get higher and higher confidence in what we're able to deliver. We have a few levers, obviously, that we're, we're playing with, with all this cash flow that we're generating, we've got a capital program, we've got debt that we want to take down and we've got our dividend. And we're cognizant of the profits that the business is throwing off. And the ability that we have to reward our investors with those profits.  So, it's a sort of a long answer winded answer. I think we don't have to be as I don't know non-committal with the dividend. I guess, that's maybe not the right word to say, using both a base and variable piece, because we have a lot of volatility that we can't attribute. We have, I guess, higher confidence in the business. And so we've never really considered a variable component of dividend, we've just done our best to be able to set the dividend data at what we believe to be an achievable level.
Michael Beal: You didn't buying in stock. And we're not saying that's the right or wrong thing to do. But looking at the long term present value of your reserves your drill inventory. You didn't mention that as being one way to return capital. What's the thought on that? 
Darren Gee: Yes, we don't. We haven't ever done exercise a share buyback. Our thought is, it's your you're paying us to drill wells, and to generate profit off of that investment. And that profit, we can return back to you in the form of a dividend and you can then buy the stock. Arguably, I'm probably a terrible stock picker, and probably not the person to consult as to when to buy stocks and sell stocks. But hopefully, we're pretty darn good at drilling wells and making money at that. And really, that's what you're paying us to do. So that's what we focus on.
Michael Beal: Last question, as it relates to your drill inventory, roughly how many years the say our drill, and I know a lot of area was going to say how many years worth of drill inventory do we have, especially in light of these recent purchases? Just a range or round number?
Darren Gee: Yes, we highlight that in our presentation as well. I think we're carrying about 1300 locations or probably will be more by the time we wrap it all up at the end of it. issue on our reserve books, that's really limited just to a handful of years out into the future where we're scheduling those wells, we believe we've got much more inventory beyond that, at least double that amount. So that puts it up over 2000, maybe 2500 locations on the lands we have today. We're drilling less than 100 wells a year. So that's, that's a lot of years of drilling inventory into the future.  That said, we don't just sit back and harvest that opportunity, we're constantly looking for new stuff to do as well, that is even better than what we currently have. So if we can continue to every year at and increase the quality of the inventory that we have with new ideas and new locations, then we're never going to catch up to all that inventory.  I know over our history as a sort of an example and a look back, we typically added two locations, drilling inventory locations for every location we've drilled. And when you're adding at twice the rate that you're harvesting it, you're never going to catch up to all of that inventory. So as long as we can continue to do that we're doing our job. We've always got some really good quality stuff to be developing.
Michael Beal: Thank you very much.
Darren Gee: You bet. Thanks for your question.
Operator: And thank you. And I'm showing no further questions. I would now like to turn the call back over to Darren Gee for further remarks.
Darren Gee: Thanks, Justin. We had one other question that came in overnight. And this isn't something we necessarily highlighted in the press release, but it was in the financials and MDNA. And that is with respect to this new credit facility. And the question was that we lowered our bank line from 950 to 800. Kath, do you want to comment on why we did that? And what do you want to have us to comment on that?
Kathy Turgeon: Yes, sure. Good morning, everyone. So last month, we extended our credit facilities to October 2025 from October 2023. We chose to reduce the credit limit from $950 million to $800 million, as we don't see a need for the high credit facility going forward giving our forecasted growth and free funds flow and forecasted debt reduction. So the reduced credit limit benefits paid out through lower credit facility renewal fees, and lower standby charges on that undrawn balance.  The renewal also allowed us to improve our credit, price grid. So our prior credit facility was signed when our debt-to-EBITDA was much higher at $2.48. At the end of September, we were down to $1.16, which allowed us to negotiate that lower pricing grid, and that's going to help us with offset that increase in Bank of Canada rate increases. 
Darren Gee:  Great. Okay. Thanks. Last question here that came in was just one about our extended reach horizontal program. We've talked at length over the last few years about how we've pushed longer and longer laterals, maybe rather you could maybe make some comments on just that program. How it's evolving? Do we have a bunch more technology to play with? Are we reaching the limits of the length of lateral how to driven enhance returns for the wells?
Kathy Turgeon: Yes, so we are continuing to see good success applying extended reach horizontals across many areas, and many different species. And, of course, the efficiency gains, we see advertising the sort of fixed cost portion of the wells across more laterals is really helping to drive better economic returns, and it's helping to combat some of the inflationary pressure we see also.  So we've, dominantly applied this to the Wilrich. But, it obviously played it elsewhere. As you alluded to Darren there, we've recently drilled some Dunvegan wells in the within this sort of fashion, longer wells, and those are generating some really good results. We've also applied this to some Blair [ph] channels where we're seeing some really good results in where we haven't really developed these channels before. So the benefit of this is obviously the economic gains that we get, but it's also the inventory that comes from it.  As far as sort of, like where we're pushing this to, I think, given the system we're using ball drop, we are kind of coming up against some limitations with it. But we've also seen those limitations continually push out and out into the future here where you go back couple of years, we were, seeing limitations in sort of like the mid-30 stages. And now we're able to 50. So, as time goes on here, we're continuing to drive wealth longer and apply the new technology as they come available.  So yes, so I mean, this has been pretty critical for us as far as developing a lot of our plays. And it's really critical for us as far as the new stuff we're doing in Whitehorse as well, which is really great. So, we'll continue to push as hard as we can to go as far as we can, and to try and maximize the economic benefit we get from it. 
Darren Gee: Okay, good stuff. Doesn't look like there's any additional questions, Justin. So maybe we'll wrap it up from here. We're excited, obviously, with what we've got on the lineup period for the rest of Q4 to get us to the end of the year. And of course, it doesn't stop there. We usually do shut down for a little bit of a Christmas break with the drilling rigs and give the guys a few days off.  Mostly from a safety perspective than anything, but everybody's been working hard. Our rigs have been running pretty steady all year long. So it's good to give the guys a little bit of a break, and then we'll get back at it in the new year. We've got a lot to do next year. It's going to be an exciting year. And then by the end of the year, we should be selling gas to a brand new power station right next to us. So we're excited to see that too.  I think we're set up really well. And we're going to be reporting obviously along the way as we go, actually JP will be the one reporting to you every quarter. So, please listen him, and we'll be back to with the reserves, I guess in February and then the Q4 results shortly after that. Thanks for listening the call this morning. 
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.